Operator: Greetings, and welcome to the General Mills Fiscal 2021 Q4 Earnings Call. During the presentation, all participants will be in the listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded on Wednesday, June 30, 2021.  I would now like to turn the conference over to the VP of Investor Relations, Mr. Jeff Siemon. Please go ahead.
Jeff Siemon: Thank you, Frank, and good morning. Thanks, everyone, for joining us today for our Q&A session on fourth quarter results. I hope you had the time to review our press release, listen to our prepared remarks and view our presentation materials, which were made available this morning on our Investor Relations website. It's important to note that in our Q&A session, we may make forward-looking statements that are based on management's current views and assumptions, including facts and assumptions related to the potential impact of the COVID-19 pandemic on our results in fiscal '22. Please refer to this morning's press release for factors that could impact forward-looking statements and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here this morning with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Jon Nudi, Group President of our North America Retail segment. Let's go ahead and get to the first question. Frank, can you get us started, please?
Operator: [Operator Instructions]. Our first question comes from Ken Goldman with JPMorgan.
Ken Goldman: Two for me. The first is, can you give us a sense of what to expect for the cadence of the cost inflation this year? And then the second one is, the street, I think, is looking for maybe about 40 basis points in your gross margin in terms of the decline year-on-year in fiscal '22. I know you're not guiding to this, but given what you've said about inflation, HMM and pricing and nearly net pricing, is it kind of reasonable to expect something in this range? Or is that far off from what you're looking for?
Kofi Bruce: Ken, this is Kofi. Thanks for the question. So as we look at the year, I think it's important for us to just give some perspective, and I'll address it maybe through the lens of the flow of margins. We would expect our back half to deliver higher margins than the front half with particular pressure on Q1 where we would see the combination, obviously, of inflation and pricing that starts later in the quarter, the benefits of pricing flowing through later in the quarter. So -- and as for the flow of those, that guidance on margins would reflect roughly relatively balanced flow on our expectations for the full year for inflation, and then obviously, with the pricing really kicking in as we step into Q2.
Ken Goldman: And then just the second question. Is that 40 basis points for the year that The Street is looking for, is that far out of line with what you're thinking, Kofi?
Kofi Bruce: Well, we're not going to give guidance at gross margin. But obviously, our guidance on profit, on operating profit and sales would indicate something in the range of a modest decline in operating profit margin.
Operator: Our next question comes from Andrew Lazar with Barclays.
Andrew Lazar: Jeff, I know you used the words dynamic, and I'm certain a bunch of times in your prepared remarks. And even though the consumer side of things may be getting -- maybe a little bit more visible, obviously, the cost and comparison side of the equation are still pretty challenging. So I guess my question is, how much flexibility do you think you've left yourselves in the FY '22 guidance in light of the industry challenges, also knowing how the timing of pricing and other actions tends to work to offset costs?
Jeff Harmening: Yes, Andrew, I think your observation is a good one. And we use dynamic and we use uncertain, I also say volatile, so we can throw that one in too, right? And it is -- from a demand perspective, it's still as volatile. And even if mentally many consumers are getting beyond COVID, the demand environment is volatile not only with respect to at-home versus away-from-home consumption but also what is the impact of pricing going to be? And what does that mean for elasticity? So I would say the demand environment is still volatile, and as is the cost environment. And so whether that's input costs on manufacturing or whether that's transportation or whether those are commodities, it is a pretty volatile environment. What I'm proud of is over the past year, and we've been able to navigate that well and do what we said we're going to do. In fact, each of the last 3 years, we've done what we said we're going to do. And now we still have to face this year. And -- but I feel good about our guidance. I don't think it's so conservative, and I don't think we're on over our skis. We're trying to tell you here's what we think we will do. And is it easy in this kind of environment? No. But I feel good about our capabilities and how we're executing right now. And we're very clear on our path forward. So all of those things give me confidence that we can do what we said we're going to do. But it's a tricky environment, and I think that it will be.
Andrew Lazar: And then there was a survey done recently that we read about one of the large CPG brokers, and it showed how, I guess, manufacturers were more optimistic about sort of sales trends in the back half of this calendar year compared to retailer expectations. And I didn't know if you've encountered sort of this divide in expectations in your discussions with your key customers. And if you have, maybe why you think this gap exists with respect to the differential again and expectations around maybe sales and/or stickiness between manufacturers and retailers?
Jeff Harmening: Yes, Andrew, and this -- I want this to come off in the right way, but you know what I said just a second ago that it's volatile. I think this is exhibit A, when you have a group of one -- one group thinking one thing, another just shows that there's a level of uncertainty and volatility. That would be the first point. The second is that if you look at our guidance for the year, we said we'd be down modestly on sale of minus 1% to minus 3%. And I can tell you that we're lock-step with our retail customers, and we have good partnerships with them and we're pretty well aligned with what they think. And so -- but I can understand why there are differences because it is a volatile environment by -- varies by category as well as geography. So we're very well aligned with our customers, not only on the demand environment, but also the cost environment. They see the same cost pressures we do. And we've instituted pricing in the vast majority of our categories and markets throughout the world. And while no one wants to increase prices, we've had to do that because the cost environment is what it is. And we have found them to be understanding because they're in the same kind of boat that we are.
Operator: Our next question comes from Robert Moskow with Credit Suisse.
Robert Moskow: I was thinking about the terms that you're using, Jeff, to describe the environment as volatile. But I want to get a little tighter on it because I would say that the cost environment is very volatile and maybe the pricing as well. But your opening comments would indicate that demand has been fortuitously strong, it has stayed strong. So are you saying demand is volatile, too? Or are you just saying it's uncertain? Because I would describe it as uncertain because you just don't know how their people will react in the fall when maybe they go back to school and go back to offices.
Jeff Harmening: Yes. Rob, I appreciate the distinction. I would say that what we have seen in the recent past is not very volatile. In fact, it's been pretty steady. And honestly, it's kind of playing out as we thought it would, which is our business was down in the last quarter versus where it was last year during the stock up. It was actually quite a bit higher than it was pre-pandemic as are our shares. And we've been talking for quite some time that although in some corners people thought demand would kind of fall off a cliff when people started going back to the office and got returning to normal pre-pandemic, we said we think actually some of these behaviors will be sticky, and that's what we have seen. So it hasn't been volatile in the recent past. The question is, what's going to happen for the remainder of the year as pricing kicks in, as we -- as kids go back to school as we hit the fall, I think it will be a volatile environment, and we're calling it the best we can, given our assumptions. But you are correct. It hasn't been volatile in the recent past. But as we look ahead 3 months and 6 months, I think that will be what we're going to be dealing with. And yes, I would note, during that period, Rob, we still expect at-home food consumption to be above pre-pandemic levels, even if it's below -- slightly below a year ago.
Robert Moskow: Right. Okay. And this question might be more in the weeds, but the strategy in grow, I guess, division or organization that you're creating internally, is that just combining some corporate functions together like corporate insights and M&A together? Or are you expanding the role and taking some of the responsibilities of the business units like revenue growth management maybe and pulling it into this division? Like how is this -- how big of a change is this division you've developed?
Jeff Harmening: Yes, it's a -- I would say it's a decent-sized change, but what we're not doing is taking operating responsibility out of the businesses. And in fact, what we're doing is pushing operating responsibility for the near term and more closely align to the businesses, which is really important. So we are doing that. In terms of the strategy area itself, we are centralizing some of the capabilities because you don’t want to do modeling, for example, in many different places. You want to be able to do that in 1 central location, but then it's up to the businesses themselves to use that modeling and then to decide what's best for their businesses. So you want some centralized capabilities so you can develop scale and expertise, but then you want to use those models to be in the businesses who are responsible for the P&L. So that's where we're doing that. The other thing we're doing, I would say, is that similar to what we've done with strategic revenue management over time, we're -- at one point in time many years ago, it was something we did periodically was thinking about pricing and we turned into it always on kind of function. The same would be true of our strategy function. We're kind of beefing up our strategy function as well as M&A as we look to the future and certainly what we need to do to hit our sustainable top-line growth targets is we need to keep competing effectively, but we also need to do more portfolio shaping. And so in that sense, we have an always-on strategy group that is maybe different than what we have done in the recent past.
Operator: Our next question comes from Laurent Grandet with Guggenheim.
Laurent Grandet: And maybe if I can come back on one of those questions. So when you say at-home consumption will be more elevated in post pandemic, I mean, I think that's probably what the assumption for everyone. Now by how much, it's really a question. So could you maybe help us understand your thinking process made by category, how you see those more elevated than -- consumption post pandemic and what is triggering this in your view?
Jeff Harmening: Yes, Laurent, I think for this call, it's probably not helpful for us to go category by category. But I think if I can give you -- what's underlying the assumption as to why we think this is going to happen. In our human food business, and I'm going to separate pet. But in our human food business, what I would say is that there are a couple of factors underlying our belief that we'll continue to see demand that's above pre-pandemic levels. The first is that more people are going to work from home more often than go into the office every day. And we're fairly certain that, that is here to stay. So there will be a new normal and where people work. The second is that consumers, many millennials have really gained cooking skills and baking skills and newfound confidence in the kitchen and they can find that they can save money by doing it. And so while they -- we're not saying people won't want to still go out to eat, we believe that there's a younger generation that maybe not have done this before. Our penetration data show this, especially in the U.S. that we have a whole new group of consumers that have elevated demand. The third would be that our e-commerce business has grown rapidly over time. In fact, it's now 11% of our sales, up from 5% 18 months ago. And while the continued growth may not be linear over the next period of time, many people have found shopping in grocery stores become much easier than it was before. And many time [Indiscernible] convenience [Indiscernible], it tends to stick. So for all of those reasons on our human food business, we believe -- even as people go out to restaurants more, even as kids start to go back to school, there will be some of the demand that is sticky for food at-home. The other thing I would say is, for pet is a little bit more straightforward, and frankly, there are more pets than they were before. And that is certainly true here in the U.S., it's true in other parts of the world as well. But particularly in the U.S., 85% of those new pets are in homes that already contained one pet. And so these are people who are used to having pets. And so the amount of pet food that's going to be consumed over the next few years, we think, is going to be elevated in addition to the fact that the fastest-growing part of pet continues to be the natural segment, which is where our Blue Buffalo competes. And so we would anticipate that the category itself will be above what it has been the last couple of years, and that natural will remain ahead of the category in terms of growth.
Laurent Grandet: If I may, I got a second question. It's about plant-based dairy. We have seen, I mean, recently increased interest in plant-based dairy from consumers and actually also from investors as well. So could you please update us what's the plan with your Yoplait brand in the U.S. and Canada as well as again that internationally and potentially maybe update us about your pet investment as well?
Jon Nudi: Laurent, it's Jon Nudi. Hope you’re well. So the yogurt category in the U.S. is really starting to accelerate. So it was up 5% in April and May, up 2.5% in June. And really, what's driving that is this simply better health segment, so that was up 31%. So that's products like Ratio Keto, which is one of our products, [Indiscernible], and we put plant-based in there as well. So we're definitely seeing growth in that segment. In terms of the Yoplait, we launched Oui a plant-based product several years ago that has continued to do quite well. We're actually looking at launching a Yoplait plant-based product in the coming year as well. So it's still relatively small in yogurt in the U.S., growing quickly. Really, that’s simply better health segment with the dairy-based products there, Ratio Keto, and [Indiscernible] and the [Indiscernible]. So plant-based remains an area of focus for us. I would tell you it's not the biggest segment and probably not with the bulk of the growth in the coming year.
Laurent Grandet: And internationally for Häagen-Dazs, any plan there?
Jeff Harmening: When it comes to plant-based ice cream, I think it is a very, very small part of the category. What I will say is our Häagen-Dazs business has been growing very, very nicely and continues to do well all over the world, particularly strong growth in China and in Europe this past year. And we've got some great innovation coming on Häagen-Dazs. And so plant-based is really small, but we are confident that we can continue to grow our Häagen-Dazs business really well in key geographies and looking for a summer where more consumers are out and about.
Operator: Our next question comes from Jason English with Goldman Sachs.
Jason English: So now that you've announced price increases in the vast majority of categories and markets, can you give us some clarity on how much net price realization you expect to realize in your down 1 to 3 full year organic sales outlook?
Kofi Bruce: Jason, this is Kofi. Appreciate the question. Let me give you a frame to think about this. So as we give guidance on inflation of about 7%, we would expect our holistic margin management to register about 4 percentage points of cost of goods sold. So that would offset a good portion of the inflation. And obviously, in this environment, we would need some additional price realization. While we're not quantifying it, we would expect the combination of levers through strategic revenue management, both list pricing, price pack optimization, trade optimization, all of those things to yield us enough to cover our inflation expectations.
Jason English: Okay. So take that remaining 3% of COGS and gross it up to revenue is probably a safe place to go right now? I think that's what you said. Switching gears but still remaining kind of on the topic of offsetting inflationary pressures. Your recent restructuring announcement, I thought you're going to have a lot more meat on the bone to give us today on this. But there's not a lot. Can you give us more clarity around the initiatives, including the expected cost savings? And how much do you expect to reinvest?
Kofi Bruce: Well, I will give you a frame to think about this. And let me sort of touch on what we're getting at. This is not simply a cost savings exercise, as Jeff kind of alluded to in some of his earlier answer. We are sort of aligning resources to growth-facing purposes. So there isn't here an expectation that we'll prioritize. Areas like digital and data and analytics, SRM, strategy and M&A, as Jeff mentioned earlier, those things are all critical to sort of maintaining the growth engine. Our expectation after this exercise is that our admin costs as a percent of net sales will be roughly in line with our fiscal '21. So they will keep pace with the sales decline.
Operator: Our next question comes from Bryan Spillane with Bank of America.
Bryan Spillane: So I guess my question is just around as we're working through our models and thinking about and trying to factor-in in inflation, maybe Kofi, could you give us a little bit of a -- some color on maybe which segments are going to feel more inflation than others. And maybe just how we could think of how we should be thinking about the potential volatility of inflation just within segments? And then, I guess, tied to that question is just as we're thinking about the revenue management component of covering inflation, is it more pronounced in some segments than others? Just trying to get a sense of how we should be looking at that across segments? Or is it really generally the same across all of them?
Kofi Bruce: I appreciate the question. And while I don't want to get too specific at the segment level, what I will tell you is all of our segments are experiencing higher inflation, we are addressing in all of our segments with the mix of holistic margin management in line with our historical levels and SRM, I mean, using the entirety of the SRM toolkit in all 5 of the segments.
Bryan Spillane: Okay. And then maybe just a follow-up. I know there's been a lot of talk about pricing, price increases as part of the way to combat inflation. We've heard that across our whole coverage universe. What do we expect on the back side of that, right? So as some of this inflation moderates, hopefully, would the expectation be that this pricing has stopped? Or would there be the potential that some of it would have to be dealt back as inflation moderates? Just trying to understand just how unusual this environment is, just how we should be thinking about the stickiness of those price increases if and when inflation rolls over?
Jeff Harmening: We'll probably -- usually, we don't give forward-looking views on pricing. And so I think that's probably the best plan to stick to that here, which is not to say your question is not a fair one. I just think for us to talk about future pricing is probably not something we should do too much other than to say, I think one of the keys to our success as we look ahead as it has been recently, is our agility. And we've proven ourselves pretty agile during that last year, including with recent pricing we've taken into the marketplace relatively quickly. And I attribute that to the fact that we have an always-on capability. And so in a volatile market, trying to be certain is not a good place to be. What you need to be is thoughtful and you need to be fast. And I think of both of those things, and we're going to try to continue to do both of those things. So you raised a good question. We're not going to answer directly because we usually don't talk about pricing. But I do believe that the key challenge in the volatile environment is to be clear and to be agile. And we will certainly endeavor to do that and we feel good about our ability to do that.
Operator: Our next question comes from David Palmer with Evercore ISI.
David Palmer: Andrew mentioned that mega broker survey, and in that survey in the Q&A they cited there's consumer and category insights that the food companies have is a reason why the food companies were more bullish about demand than the retailer customers were. In other words, you had a better level of understanding about where things have been more sticky and for good reason. What is your latest thinking about categories and brands that you think most benefited in a semi-permanent way from COVID and perhaps because of consumers embracing new habits? And I have a quick follow-up.
Jon Nudi: David, it's Jon Nudi. As we look at our business, we think our Meals & Baking businesses particularly benefited during the pandemic, and it's all that in the sales numbers. As we really dig into our consumer insights, consumers changed their habits. Obviously, baked a lot more. We believe that some of it will be sticky. It's more than just food. It's really bringing joy to the family and bringing the family together, which is terrific. And then Jeff mentioned a lot is learning to cook and that's something that's going to stick as well. So all of our research would say, certainly, we're not going to go stay at the elevated levels that we've seen in the pandemic. But consumers will eat at home more than prior to the pandemic and they'll use these new skills to use our products more than prior to the pandemic as well. So we're spending a lot of time. We've got a lot of new insights, really digital insights, really leveraging the first-party data that we have with Box Tops for Education, Pillsbury.com, bettycrocker.com, that's really giving us some rich views into the consumers’ day in their journey. And we think, again, via that data, there's going to be something that sticks in the future.
David Palmer: One category that I'm really confused by is cereal. It's an at-home category, but it's perhaps part that lives in that world of convenience that compressed morning daypart. In other words, cereal has really lost a lot of share of at-home breakfast during COVID, if that's a way to think about it. At-home breakfast getting the benefit of people being at home. But cereal not as being as much part of that. In other words, cereal is up 1% over the last two years, not really that impressive. How are you thinking about cereal going forward? Do you think it actually has a bit of a re-brand as people get back to convenience? Or is this sort of just the new normal, more of the existing normal? One of the few categories that really didn't get affected by COVID at all and it's just sort of low growth? Any thoughts there.
Jeff Harmening: Yes. Absolutely, David. For sure, I think as consumers who are at home have more time to prepare breakfast. We saw things like eggs and pancakes grow more quickly than cereal. We do believe cereal will continue growing in the future. And again, as we look over that 2-year period, the category did grow. We grew even more aggressively than that. So again, we increased 60 basis points of share in fiscal '21, that's 31 consecutive months of share growth, 10 consecutive quarters, 4 consecutive years. And we believe that cereal is an important today, it will be important in the future. It's used, obviously, for breakfast. It's used for snacking throughout the day. We've got some great innovation coming this past -- this coming year. And at the same time, we know that our marketing continues to work, things like cereals and our cholesterol messaging, our kid fun messaging around Cinnamon Toast Crunch and Lucky Charms. We believe the category will continue to grow. We hope again it's probably not going to be high single-digits, but we think a little bit of growth in that category is in our future. And I think as things come back to normal, to your point, to more normal and consumers are back to school and back to the office, we'll see some of the convenience cereal provides -- providing a bit of a tail into the category.
Operator: Our next question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy: I wanted to first just ask about your investments. So I know you've increased media spending and you've also spent to build critical capabilities. And I'm curious how you're thinking about investments as we look at fiscal '22. Essentially, I'm asking like are you expecting media spending to continue to increase at that double-digit CAGR that we've seen over the last 2 years? And then where -- or should we stay at the level that we're at? And then how much more investment and capabilities do you need from here and out?
Jeff Harmening: So let me take that one a little bit. And then, Kofi, if there's any background you want to give as well. On -- we're not going to give specific guidance on our media spending for next year. I would say when we talked at CAGNY Q4, we had talked about as we look into the future, we'd have media grow roughly in line with sales over time. And we'll see what happens this coming year. But that's what we said we would do over time. In terms of investments, we're really pleased with what we've seen out of our data and analytics capabilities. And Jon Nudi touched on Box Tops obviously a little while ago. We digitize that. In our opening remarks, we talked about some of the things we're doing in patio, you'll hear more -- a lot more about that this coming year. We've tied together an omnichannel approach in China with our shops in our retail, which is yielding some good insights, great results. We like what we're seeing there. And even on the cost side, as we look at our global sourcing efforts, we've tied data and analytics into that to help us with our costing and HMM. And so you can see -- you'll see us continue to invest in our data and analytics capabilities because we really like what we have seen so far. And some of that will be foundational and some of that will be on the analytics themselves to drive growth and other parts will be on analytics to help us to save money. But I think that will be a big area of investment as well our strategy and M&A area as we, again, look to further our Accelerate strategy.
Faiza Alwy: Okay. Great. And then just a second question on Blue Buffalo on the Pet segment generally. I know you talked about growth in that segment. I'm curious -- I mean it sounds like category growth is going to be strong. Are there any specific plans beyond the connected commerce initiatives that you talked about? Is there any innovation that we should look out for? And I know at CAGNY, you talked about potentially taking Blue Buffalo to international markets, so I wonder if there's any plans to do that this year?
Jeff Harmening: So first of all, we're really pleased with our Blue Buffalo performance, including the fourth quarter where our retail sales grew in the mid double -- mid-teens. And so even if it doesn't look like that on the P&L, you have to remember, we're lapping 4 months from last year and the stock up from the year before. And so we're really pleased with Blue Buffalo. We see strong growth ahead. That would be my opening comment. In terms of how we're going to grow, this digital capability will certainly be a big piece of that, but so with innovation. What we really like what we've seen on the Tasteful launch, and we're literally selling everything we can make from this new Tastefuls cat line and we’re under-indexed in cat, the margins in that segment are good, and we're highly confident Blue Buffalo can play a role in that. We've recently launched some innovation in the snacking and the bones launch, and we're excited about what that can be, in addition then to clearly bringing online this Tyson acquisition, which we hope to close shortly. And so we're going to grow Blue Buffalo organically, continue to do that. We're bullish about our opportunity to do that as well as effectively bring on this new part of the portfolio, this Tyson treat business where we’re under-index and Tyson has done a nice job with that business. But we think combining what we can do with our capabilities in pet with the business they already have, we think there's good growth in that as well.
Operator: Our next question comes from Michael Lavery with Piper Sandler.
Michael Lavery: I know you've called out the uncertainty, and I think that's all very clear. But can you give a sense around elasticity, what kind of assumptions you're making for your planning process?
Kofi Bruce: Sure. So as we built our plans this year, we -- one of the benefits of our SRM capability as we actually have very detailed demand elasticity models. I would say that and also given not to the uncertainty of this environment and the fact that inflation in the market is broad spread, it's across industry, it's global. And so with those factors, all are potentially a setup for demand elasticity models that are by design that we're looking to be perhaps overcall the elasticity of pricing in this environment. So I'd make that note because this is an environment where that uncertainty becomes a relevant factor as we talk about demand elasticity.
Michael Lavery: And so does that net you out at greater elasticity than historical levels? Or do you expect it to be pretty consistent with what you've seen before? What's that kind of net out to?
Kofi Bruce: Yes. Well, our models are built on sort of historical expectations. I think what I'm also giving acknowledgment to is that the environment itself is reason for us to be cautious about being certain on the call, there will be demand elasticity. There's certainly an environment where I think demand elasticity models could be launched just because of the breadth of inflation in the market.
Michael Lavery: Okay. That's helpful. And just a follow-up on the C-store and Foodservice segment. You've called out how you expect the lift to volumes or sales from more demand or reopening. But can you touch on the impact for pricing and specifically pass-through pricing. How much of a factor do you expect that to be for the sales lift? And should we look the modeling an acceleration there specifically on the pricing side because of this pass-through costs?
Jeff Harmening: So Michael, I would say that what we see with our cost going up is very broad. I mean it's broad across geographies, it's broad across product segments, it's broad across channels. And so that would include what we see in C&F. So our cost for our products in our Convenience and Foodservice segment are going up as well, and so we would anticipate pricing in our Convenience and Foodservice segment because we see our costs going up. And so in this environment, there's obviously not only inflation improvement kind of everywhere. And so it's no different in C&F. And so we would anticipate prices going up. In fact, we've already increased prices in the Foodservice segment because our costs are going up. And so -- but what I will also say is that we're very confident in our convenience and foodservice business to return to growth this year as schools reopen and as people get out a little bit more, we're well positioned to capture growth that returning to that market.
Operator: Our next question comes from Chris Growe with Stifel.
Chris Growe: I just had a couple of questions for you. When you gave your guidance for the year, like your constant currency EPS growth, I am just curious, it does not incorporate the acquisitions or divestitures. And I don't know if you have any kind of quick words on those. We've modeled, have estimated kind of 1% to 2% dilution for the yogurt business and then slight accretion for the pet treats business. Would that be in the realm of expectations? If you have any thoughts on that?
Kofi Bruce: So Chris, this is Kofi. So we don't have new information that would change the perspective we've already given. Obviously, we do expect the pet treats business to close shortly. And obviously, until that point, we can't get too much more specific, but it is probably important to give some parameters around what slightly accretive means. I think it's important to note, we will see a portion of earnings contributions for the year. We will also see some of the purchase accounting related amortization, including inventory step-up. And those factors will lead us to expectations probably in the range of $0.01 to $0.02 accretive for the year on the pet treats business.
Chris Growe: Any comments -- no changes there on your expectations for yogurt when that closes, correct?
Kofi Bruce: No. And that sets further out, and we'll give more color as we get closer.
Chris Growe: Okay. I had just one other question, if I could, on the international segments. Asia, Latin America hit about a 5% operating margin for the year. Europe, Australia, about 7.5%. Are these sustainable margins? Could they grow from here? There's obviously some pretty significant moves as we move through the year in terms of improvements in profitability. I just want to get a sense how much of that was the benefit of COVID in some cases and the pandemic? And how much of it is potential to kind of stick, if you will, based on changes you're making in those businesses?
Kofi Bruce: Chris, that's a great question. I think we've been very pleased with the progress we've made in margins on both of those businesses in this environment. Obviously, some of that is related to the leverage benefits of operating in elevated demand. But we've also been making and continue to make business model changes in both businesses that are driving margin improvements. And actually, we'll continue to make them even contemplated as part of the restructuring actions that we've already announced. So I would expect that we would hold on to the portion of these margin gains and continue to drive margin improvement and get to a much more competitive place on both of these businesses.
Jeff Siemon: I think we have time for one more question, Frank.
Operator: Our next question comes from Ken Zaslow with Bank of Montreal.
Ken Zaslow: I have 2 questions. One is, you guys have been really early on the data analytics side. What are the specific new capabilities that you need? I mean just a little surprised that you're not there, I guess, is kind of what I think. You guys were very, very early on that. So what is the new learnings that you are looking to explore and do more with? And what will be the returns on that? And then I have a second question.
Jeff Harmening: So we've been working on our data and analytics capability for a couple of years now. I would note that the first thing we had to do is build a foundation. And I won't get into the details of that in this answer, but we had to build a foundation. And then now we're building on top of that with some specific capabilities around growth capabilities like strategic revenue management, growth capabilities like addressing consumers through things like Box Tops for Education and what we're doing in the pet personalization space as well as what we're doing in omnichannel in China. And then the on the cost side, what we're doing with procurement, but there's a lot more -- there are a lot more things that we can do using data and analytics to drive our business. So we'll continue to invest in order to drive those parts of the business. So it may seem like a lot, but we had to build a foundation first, which is the right way to do it. And now we're building on top of that with specific capabilities.
Ken Zaslow: Great. My second question is, you put out the 3-year growth that you had, 2% sales, 2% operating income and 5% EPS. When you think about the next 3 years beyond that, does that seem like the right mix? Or do you think the changes that you're having should accelerate that by a certain amount of basis points? And how do you think about the next 3 years? And again, not next year, but just thinking about it in the 3-year clip, I think that's a good way of thinking about it and how you're positioning it. So I was just curious to see how you think about relative to the last 3 years? And I'll leave it there, and I appreciate it.
Jeff Harmening: Again, I'm going to try to take you through this year. On the -- what I would say, though, on the -- look, I do respect the question. As we look ahead, our goal is to get back to sustainable growth and to get to 2% to 3% growth. And I mean, I'll probably restate something I've said already, that requires us to do 2 things. One is compete effectively. And I think we've said over the past couple of years, we've really improved our game there to compete. We're competing effectively pretty much everywhere around the world. So we'll continue to need to do that to get to 2% to 3% growth. And we'll continue to have to reshape our portfolio. And you see that through to the divestiture of Yoplait and at least the proposed divestiture of Yoplait in Europe, and you see that with the upcoming acquisition of [Pluto]. And so we'll look to continue to reshape our portfolio as well as compete effectively to get to that 2% to 3% growth rate. And so that will be our plan after this year. And we have got a group that's focused on that, and we've got another group that's focused on making sure we can deliver what we said we're going to do this coming 12 months.
Ken Zaslow: Great. And do you think that all these things that you're putting in place seems like it should fuel this growth. But I appreciate the answer, and I look forward to seeing what you guys can do.
Jeff Siemon: Okay. I think that gets to the end of our time this morning. So thank you, everyone, for your time and attention and appreciate the good questions. Please reach out over the course of the day if you have any follow-ups. And we look forward to talking to you again soon. Bye, bye.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everyone.